Operator: Thank you for holding, ladies and gentlemen, and welcome to the Alliant Energy's Third Quarter 2013 Earnings Conference Call. [Operator Instructions] Today's conference is being recorded. I would now like to turn the call over to your host, Susan Gille, Manager of Investor Relations at Alliant Energy.
Susan Gille: Good morning. I would like to thank all of you on the call and the webcast for joining us today. We appreciate your participation. With me here today are Pat Kampling, Chairman, President and Chief Executive Officer; Tom Hanson, Senior Vice President and CFO; and Robert Durian, Controller and Chief Accounting Officer, as well as other members of the senior management team. Following prepared remarks by Pat and Tom, we'll have time to take questions from the Investment community. We issued a news release this morning announcing Alliant Energy's third quarter 2013 earnings guidance, updating 2013 earnings guidance and providing 2013 through 2017 capital expenditure guidance. We also issued 2014 earnings guidance and common stock dividend target. This release, as well as supplemental slides that will be referenced during today's call, are available on the Investor Page of our website at www.alliantenergy.com. Before we begin, I need to remind you the remarks we make on this call and our answers to your questions include forward-looking statements. These forward-looking statements are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters discussed in Alliant Energy's press release issued this morning and in our filings with the Securities and Exchange Commission. We disclaim any obligation to update these forward-looking statements. In addition, this presentation contains non-GAAP financial measures. The reconciliation between the non-GAAP and GAAP measures are provided in the supplemental slides, which are available on our website at www.alliantenergy.com. At this point, I'll turn the call over to Pat.
Patricia L. Kampling: Good morning, and thank you for joining us today. With Veteran's Day just a few days away, I'd like to take a moment and pay tribute to the approximately 400 proud veterans that work here at Alliant Energy, to those veterans that are on call with us today. We thank you for your service to our country, and for protecting our freedom. This morning, we issued a press release that provided third quarter results, and increased our 2013 earnings guidance. We also provided earnings guidance and our targeted common stock dividend levels for 2014. As finally, we updated our capital expenditure plans through 2017. Tom will provide more details on all the financial updates, but in summary, I am pleased to let you know that for 2013 we’ve been successful at managing our company in accordance with our operating plan. The $0.13 increase in the midpoint of our annual guidance was primarily driven by $0.11 of positive weather impacts through the third quarter. Now looking at next year, the midpoint of our guidance for 2014 is $3.40 per share, 9% higher than a projected weather normalized 2013 guidance of $3.12 per share. This earnings increase comes from increased margins, created by our ability to use expiring fixed capacity payments at both utilities to offset rate impacts from rate-based additions. Our long-term earnings growth objective continues to be 5% to 7% based on 2012 weather normalized earnings and 2014's guidance is slightly above that range at 7.7%. Supplemental Slide 2 provides the comparison to our 2012 weather normalized earnings base year, current midpoint of our 2013 estimated weather normalized earnings, and the 2014 earnings guidance midpoint. We also announced this morning, a targeted 2014 common dividend level of $2.04 per share, which represents an 8.5% increase from our current annual dividend of $1.88 per share. The dividend target is consistent, with our long-term targeted dividend payout ratio of 60% to 70% of consolidated earnings. As we look at 2014, WPL will be in the last year of the approved rate freeze. They are currently analyzing our options for 2015, '16 test year and expect to work with other parties, as we did with 2013, 2014 test years. Several key regulatory metrics will be addressed at IPL in 2014, including the treatment of the capacity payments related to the current DAEC PPA, the expiration of our 3-year Iowa Retail Electric base rate freeze, earning a return on a significant amount of capital we have deployed since 2009, extension of the transmission rider, and the determination of the timing of the electric tax benefit rate of funds to be credited to customers in future years. Also critical, is the approval and sort of construction of the proposed Marshalltown Generating Station. As part of the DAEC PPA approval, all the costs of the new agreement will flow through the energy adjustment clause and it will be effective in February 2014. In addition, we agreed to file a rate case without interim rates or reach a settlement with intervenors in early 2014. This agreement was meant to alleviate concerns that intervenors raised about the proceeds double recovery of the $135 million of capacity payments that were included in the 2009 test year base rates. As we play for 2014, we are prepared to file an Iowa Electric base rate case in early March, based on a 2013 test year, and will include known and natural adjustments through 2014. This case will eliminate the revenue requirement for DAEC capacity costs, but would include the revenue requirements for the recovery of a return on the rate-based additions of approximately $500 million, as well as other changes in revenue requirements since our last base rate case test year of 2009. If the revenue requirement approved the 2013 test year case, is lower than current rates, than a refund would be required and will be calculated starting on February 22, 2014, which is when the existing DAEC contract expires. Depending on the outcome of this case, there could also be a need for additional rate cases before 2017 when the Marshalltown Generating Station is placed in service. Although we are prepared to file a rate case, we will continue to work with various stakeholders on a settlement, which will provide multi-year electric base rate certainty for our customers. Let me provide a quick update on our proposed Marshalltown Generating Station. Prior to the IUB hearing, IPL and the OCA reached a settlement agreement on the dockets that included a $700 million cost cap excluding AFUDC in transmission costs, a return on common equity of 11% for the depreciable life of the facility, and the use of a 10.3% return on common equity for calculation of AFUDC. At the May IUB hearing, only Chair Libby Jacobs was in attendance. 2 new board members, Nick Wagner and Sheila Tipton have now been appointed, but they were not in their roles at the time of the hearing. Because of this unusual circumstance, Chair Jacobs will issue a proposed decision and order, which would become final -- which would become the final order unless the full board or another party appeals the decision within 15 days after issuance. If there is an appeal, IPL and other parties will then have 14 days to respond. Following these steps, the IUB can set up a particular schedule to address the appeals or it can enter an order. In addition to the IUB's decision to grant a certificate for the construction, an air permit must be received from the Iowa Department of Natural Resources, and the IUB must approve the construction of a natural gas pipeline for the facility. These filings have been made and are now proceeding on schedule. I'm pleased to report that last month, we received the oral decisions for the IUB approving our energy efficiency plan for 2014 through 2018, which is consistent with both our initial filings and the partial settlement we reached with the parties. The plan calls for approximately $400 million to be spent over the next 5 years, and such expenditures will continue to flow through IPL's Energy Efficiency Cost Recovery Rider. We expect a written order from this proceeding by the end of this year. Both IPL and WPL have a long history of promoting and supporting energy efficiency, and our customers benefited from these programs for decades. I'm extremely proud of the achievements we have made, and continue to make in transitioning the environmental profile of our fossil generating fleet. Recently, the Edgewater 5 SCR project was named for fast global energy award finalist in a premier project engineering category. Edgewater 5 SCR, which was completed at the end of 2012 was designed to exceed the required nitrogen oxide emission reductions, while sustaining its operational flexibilities. The 380-megawatt nameplate Edgewater Unit 5 has one of the widest operating ranges of any generating unit in the industry, that the capability to operate from 13% to 100% of capacity. This is a well-deserved recognition and I applaud and thank the Alliant Energy employees and contractors that contributed to the success of this project. Now, let me quickly brief you on our current emission control construction activities. We currently have over 1,000 contract workers on our properties assisting with these important projects. The construction of the scrubber and baghouse at Ottumwa facility is approximately 70% complete and on budget and is expected to be in service in 2014. In addition, the mid-American is currently installing baghouses and scrubbers at Neal Units 3 & 4. The Neal 4 project is 95% complete and will be placed in service shift this year. The Neal 3 project is approximately 80% complete, and will be placed in service in the second quarter of 2014. It was constant construction of the baghouses and scrubbers at Columbia's 1 & 2 is progressing well and is approximately 90% complete. This project is expected to be in service in the first half of 2014 and was factored into WPL Electric rate case settlement for 2014. Since the project at Ottumwa, Columbia and Neal began construction prior to 2014, and will be placed in service in 2014, they all will qualify for 50% bonus depreciation, that was extended by the American Taxpayer Relief Act earlier this year. The additional tax deductions from these projects of approximately $250 million will assist us in reducing rate base and thereby lowering costs for our customers. The construction authorization from the PSCW for a scrubber and baghouse and Edgewater Unit 5 included a cost estimate of $410 million. We now expect this project to cost approximately $300 million, as a result of the successful execution of our competitive bidding process, contract negotiations, and favorable market conditions. The construction is still expected to begin in 2014 and be completed in 2016. We have reflected these lower capital expenditures and our updated capital expenditure guidance. In addition to the progress we are making on transforming our Tier 1 units, we're also making progress in preparing our Tier 2 plants to be compliant with the utility, mercury and air toxic standard or U MACT by the April 2015 deadline. We are currently installing low cost controllers at our Prairie Creek and Burlington generating stations, and we continue to evaluate our other Tier unit options to comply with the rules. From an environmental perspective, we are fortunate that all of our coal facilities are in Powder River Basin coal, which is not only economical, but also makes environmental compliance less costly. We are well-positioned to ensure a balanced, flexible and environmentally compliant generating fleet, that will serve our customers well. We provided an updated capital expenditure plan this morning, which is provided on supplemental slide 3. The walks on a previous to current capital expenditure guidance is provided on supplemental slide 4. Tom will provide additional details regarding these changes in a few minutes. The primary drivers for the capital expenditure changes are updated cost estimates for the environmental projects and the timing of the spend at Marshalltown Generating Station, and the transmission network upgrades that will now be our responsibility based on FERC's July 2013 decision on attachment FF, as supposed to collection through future transmission billings from ITC Midwest. We are providing guidance based on these current rules and regulations, although FERC's decision on attachment FF matter has been appealed. The transmission network upgrades shown on our capital expenditure guidance relate to IPL's proposed Marshalltown Generating Station, and WPL's Bent Tree Wind project, which together are currently estimated at $195 million excluding AFUDC. Another addition to our 5-year capital expenditure plan is the potential new resource for WP&L. As a part of our long-term resource planning efforts, WPL is conducting a feasibility study of resource options to address future customer needs. We believe that a new resource will be needed in 2019 with the previously disclosed retirement of at least 3 units and with constant over the next few years. Several options under consideration, range from conversion of an existing simple cycle facility to a newly built combined cycle facility. We anticipate the analysis to be completed next year, and the filing with the PSCW will be made at the end of 2014. Our capital estimates are based on a new 300-megawatt natural gas flight generating facility and truly determine desired resource. The WPL and IPL split of our capital expenditures as well as the updated rate base estimates for 2013 to 2016 will be provided in the EEI Investor Presentation Slide deck, which will posted to our website yet this week. I'd now like to update you on some positive economic developments in our service territory. The economy remains stable for both Iowa and Wisconsin. Unemployment rates are below the national average with Iowa's rate at 4.9% and was concentrated at 6.2%. We are seeing improvement in the number of customers and a slight improvement in use per customer. During the past year, the number of electric customers are up by 0.4%, and for gas customers, 6.6%. Its good to see positive economic trends in our service territory, that are modestly affecting our sales volume. Let me summarize my key messages for today. We will continue to manage the company striking a balance between capital investment, operational and financial discipline, and cost-impacted customers. We have a plan that will continue to meet our 5% to 7% earnings growth objective and 60% to 70% common dividend payout target. We’re having a solid 2013, an increase in midpoint of our 2013 consolidated earnings guidance to reflect the benefits of weather and have provided earnings and dividend guidance for 2014. We're making progress transforming our generation portfolio to one that is balanced with lower emissions, and has a flexibility to comply with all existing and currently proposed environmental regulations, while economically meeting our energy capacity needs of our customers. We continue to work closely with our regulators and stakeholders to receive fair and timely outcomes. And finally, I must acknowledge and give thanks to our dedicated workforce, which not only provides outstanding service to our customers, but also delivers the financial results that we are discussing today. We're also experiencing our safest year as company, and will continue to look out for one another and for our customers. Thank you for your interest in Alliant's Energy and I'll now turn the call over to Tom.
Thomas L. Hanson: Thank you, Pat. Good morning, everyone. We released third quarter earnings this morning, with our GAAP earnings from continuing operations at $1.43 per share. There are no earnings adjustments this quarter. 2013 third quarter earnings are higher than third quarter 2012, primarily due to purchase power capacity costs, related to the Riverside Energy Center, and lower income tax expense. The higher earnings were partially offset by lower quarter-over-quarter earnings attributed to weather, and higher depreciation expense, primarily resulting from the purchase of Riverside. Comparisons between the third quarter of 2013 and 2012 earnings per share are detailed on supplemental Slides 5 and 6. The third quarter 2013 weather resulted in positive earnings from higher electric sales of $0.07 per share. However this is $0.13 lower than third quarter 2012 weather impact of $0.20 per share. Year-to-date, weather has increased earnings of $0.11 in 2013. As a result, we have increased the 2013 consolidated earnings guidance range to $3.15 to $3.30 per share. We have seen modest weather normalized sales growth in 2013. Retail sales trends between 2013 -- 2012 and 2013 are illustrated in supplemental Slide 7. IPL's Tax Benefit Riders resulted in a $0.02 quarter-over-quarter variation in the third quarter 2013, when compared to third quarter 2012. The actual and projected quarterly earnings impact of the 2013 Tax Benefit Riders, as well as the actual quarterly earnings impact of the 2012 Tax Benefit Rider is provided in supplemental Slide 8. The Tax Benefit Riders have a quarterly timing impact, but are not anticipated to impact full year 2013 results. The walk from the 2012 to the 2013 projected effective tax rates for IPL, WPL, and AEC, is provided on supplemental Slide 9. Now, let's review our 2014 guidance. This morning, we issued our consolidated 2014 guidance range of $3.25 to $3.55 earnings per share. A walk from the midpoint of the 2013 to 2014 estimated guidance range is shown on supplemental Slide 10. Starting with our utilities, the 2014 guidance assumes normal weather, modest sale increases as profiled in supplemental Slide 11, and is based upon the impacts of WPL's previously announced electric and gas retail rate freezes and assumptions about IPL's expected electric base rate case outcome. In 2012, WPL froze base rates for 2013 and 2014. The WPL rate freeze reflected electric rate base growth as a result of placing the Columbia's scrubber and baghouse projects in service in 2014. The increase in electric revenue requirement for 2014 for this and other rate base additions was offset by the net impact of lower purchase power capacity costs from the DAEC PPA, which expires at the end of 2013, and higher conservation expense resulting in no change WP&L's retail electric customers base rate in 2014. Our 2014 guidance range assumes that WPL earns its authorized return on common equity of 10.4%. Now turning to IPL. The increase in rate base during our 3-year rate freeze has not allowed IPL to earn its authorized return on common equity. We have constructed our 2014 guidance based upon earnings, our current authorized return on equity, which resulted in inclusion of a regulatory reserve in our guidance. We have assumed the transmission and energy cost riders remain in effect. Our rate case filing will consider a number of factors, which could have affect the final revenue requirement, including changes in depreciation expense, a change in amortization amounts for regulatory assets, and/or a lower total revenue requirement when compared to current rates resulting in a potential refund. We plan to share additional details of our test year 2013 rate case, when filing the case. We expect to reach a constructive outcome in 2014 to a rate case or settlement, which allows us to earn an appropriate return -- rate of return on our investor rate base. Pension expense is currently expected to be approximately $0.05 per share lower in 2014 due to increases in the discount rates and asset returns. These amounts will be updated at year-end, when determining the actual 2014 pension expense. The current funded status of our pension plan is approximately 95%. Given the changes experienced in the income tax expense in 2014, supplemental Slide 12 has been provided to assist you in modeling our forecasted 2014 effective tax rates at IPL, WPL and AEC. Finally, we turn to the 2014 earnings projections for the parent and nonregulated businesses. We expect the transportation business to maintain steady earnings between $0.11 and $0.13 per share. We also expect the Franklin County Wind Farm to sell power into the wholesale market with lower transmission constraints, resulting in a forecasted $0.02 per share pickup for 2014, when compared to 2013. In addition to our updated earning guidance, we updated our capital expenditures plans as shown on supplemental Slides 3 and 4. Our 2014 capital expenditure plan increased by approximately $200 million, primarily due to the changes in the timing of the Marshalltown Generating Station expenditures, and the addition of the transmission upgrade expenditures as a result of FERC's attachment FF decision in July 2013. Cash flows from operations are expected to be very strong given the earnings generated by the business. We will also benefit given we do not expect to make any material federal income tax payments until 2016, primarily due to the additional bonus depreciation Pat noted earlier. These strong cash flows will be partially reduced by credits to customers billed, in accordance with IPL's Tax Benefit Riders. Turning to our financing plans. We believe that with our strong cash flows and financing plan, we will maintain our target liquidity, capitalization ratios and credit metrics. Our financing plan assumes we will receive IUB approval of the proposed Marshalltown Generating Station and that the sale of our Minnesota distribution assets closes in 2014. The estimated sales proceeds of approximately $128 million from our Minnesota asset sale are expected to be used to offset IPL's future financing needs. The Minnesota distribution asset sale requires state and federal regulatory approvals. Our current financing plan anticipates issuing up to $300 million dollars of long-term debt at both IPL and WPL in the later half of 2014. We also anticipate issuing up to $250 million in aggregate of new common equity in 2015 and 2016. We do not currently plan to issue any material new common equity in 2014. We may adjust our plans as being prudent if market conditions warrant. We have several current and planned regulatory dockets of note for the rest of 2013 and 2014, which we have summarized in Slide 13. We very much appreciate your continued support of our company and look forward to meeting you -- with you at EEI. The slides to be discussed at EEI will be posted on our website as we do with all of our Investor Relations conference slides. At this time, I'll turn the call back to the operator to facilitate a question-and-answer session.
Operator: [Operator Instructions] And we will go to Brian Russo with Ladenburg Thalmann.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: If you could just reiterate about what you said earlier on the bonus depreciation, I think it was $250 million deduction to rate base. Where did that fall in the IPL or WPL?
Patricia L. Kampling: Both, it was the 3 projects at Neal, and some of which would be IPL and Columbia which would be WP&L.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Okay. So that -- that's reduction to the '13 rate base?
Patricia L. Kampling: Yes. When they going into service.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: When they are going into service?
Patricia L. Kampling: Which should be end of '14.
Thomas L. Hanson: And Brian, the slide that we will be posting here either today or tomorrow will reflect that in terms of the rate base from the schedules you've seen before.
Patricia L. Kampling: And the $250 million, Brain, is the deduction.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Right. It's a deduction in your rate base, and I guess that kind of offset by the incremental transmission spend?
Patricia L. Kampling: Sure, Brian. It's the tax deduction.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Oh, tax deduction. Got you.
Patricia L. Kampling: Sure, just want to be clear.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Tax deduction, not a rate base deduction.
Patricia L. Kampling: That's correct.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Okay. Does it have an impact on rate base?
Patricia L. Kampling: Yes. Of course
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Okay. And then I think you mentioned earlier that you going to provide the CapEx breakdown by the IPL and WPL also in the EEI presentation?
Thomas L. Hanson: That's correct, Brian.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Okay. And the Franklin County, pickup in 2014, you mind sharing kind of like the year-over-year improvement in capacity factors.
Thomas L. Hanson: Through September, the capacity factor was approximately 25%, and that reflected in improvement in the transmission line that was completed in the second quarter, we're expecting further improvement due to additional transmission lines that will be done in 2014. So we would expect that cap factor is probably going to get certainly closer to 30%, if not slightly above the 30%.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Okay. And the equity needs that you need in, I think it's '14 or '15 and '16, could that be kind of handled under some sort of driven[ph] program?
Thomas L. Hanson: Certainly that's an option. Whether it's driven, [ph] whether it's for a 1k needs and what not. So all those options are items that will need to be considering.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Okay. And then Pat just lastly, you've been spending quite a bit on environmental retrofits, et cetera, and I was just curious as to your thoughts on the EPA's carbon standards on existing fleets that are due in June of '14? I mean under what's proposed now, would your goal plans meet that standard?
Patricia L. Kampling: Again, what's proposed right now has to do with a lot of the new construction, which again we’re not proposing any new coal construction. What's being discussed that I wouldn’t even say proposed at this point, we'll be working with EEI and rest of industry, on what we think the rules for the existing plans need to be, Brian.
Operator: [Operator Instructions] .We will go next to Ela Gratia with Millenium.
Steven Gambuzza: It's Steven Gambuzza. I just wanted to follow up on Brian's question on the deductions for deferred taxes at the environmental units. I know there are differences in how you account for deferred taxes in Iowa, and Wisconsin. Can you just repeat -- is this a reduction to rate base? And if so, I know you had previously provided rate base forecast for 2015 in your last investor presentation, should we -- were those forecasts including the impact of these deferred tax benefits or not?
Thomas L. Hanson: Yes, if you recall back in our January call that we made some reference that because of the of the enactment of Taxpayer Release Act that there would be continuing depreciation, so this is reflecting those projects that were started in 2013 that would be placed in service in 2014. As Pat mentioned in her script, the $250 million is the deduction that will take in the tax return, you multiply that times your tax rates. So it's about a $100 million reduction in rate base. Some of that will be split at IPL and WPL, and as I said, the rate base slides that we will be sharing reflect that reduction because of the incremental bonus depreciation.
Steven Gambuzza: So it's not in the old presentation rate base forecast, but it will be on a new one?
Thomas L. Hanson: It was footnoted in the old, it will be in the bar graphs with the new.
Steven Gambuzza: Okay. And then I just wanted to make sure, just clarify the comment on the -- you said you did not earn your allowed ROE in Iowa in 2013, and you would -- the midpoint of your guidance would reflect earning your allowed ROE in 2014? Is that correct?
Thomas L. Hanson: That's correct.
Steven Gambuzza: And it's -- and to the kind of parameters are 10% return on equity and a 48% equity layer? Is that right?
Thomas L. Hanson: That's reasonable, yes.
Steven Gambuzza: Okay. And then just the tax rate, 2014 versus 2013, is it -- is there any change in the -- I think you said 20% in 2014 effective, what was it in 2013?
Thomas L. Hanson: Yes. If we go to, on Slide 9, the effective tax rate was 12%, and then on slide 12 for 2014, the estimate is 20%.
Steven Gambuzza: Okay. And the change in that tax rate, has some of that reflected in some of the regulatory riders you have? Or is that -- how did that...
Thomas L. Hanson: Yes. Certainly the biggest rider would be at IPL with the Tax Benefit Rider, and also we do have some flow throughs whether that relates to repairs or mixed up service cost that also influence that and given the fact we have flow-through in Iowa. That's what tends to move your IPL effective tax rate around more than you would see certainly in Wisconsin because of the tax treatment here.
Operator: We'll go next Andrew Weisel with Macquarie Capital.
Andrew M. Weisel - Macquarie Research: I just wanted to ask the 2014 guidance, like you said is a 9% increase, obviously above your 5% to 7% long-term range. Should we think, I know you can’t get specific beyond 2014, but should we think of that 5% to 7% as being sort of a CAGR, I believe you previously said from 12% to 17%, or should we think of years beyond '14 as being in that 5% to 7% range?
Patricia L. Kampling: Yes. This is Pat. We're still using 2012 weather normalize as our base for that. So if you still use that and use a 5%, that's the range we're talking about long-term.
Andrew M. Weisel - Macquarie Research: As a cager, meaning there maybe. Okay. So there may be some lumpiness between here and there, but that's the endpoint, right?
Patricia L. Kampling: Yes, absolutely.
Andrew M. Weisel - Macquarie Research: Okay, great. My next question is just maybe I need a reminder of the rate case process in Iowa, but if you do go ahead with a rate case rather than a settlement, when would the new rates take effect, and how big of an impact is that in your '14 guidance?
Patricia L. Kampling: We have it. Pretty well factored and what happened in Iowa is if we file a case, we will not be requesting interim rate. We will request final rates -- would be at the end of the year most likely. Again, there's not a set schedule. We would expect it to be the end of the year, and any refund, at all, would be retroactive back to the February date, when the DAEC payment changes from the old agreement to the new payment. And all of that is reflected in our 2014 guidance.
Andrew M. Weisel - Macquarie Research: Meaning, retroactive refund is embedded in your guidance or potential?
Patricia L. Kampling: A Potential. Whatever the options are at the end of the case we have reflected in the guidance.
Andrew M. Weisel - Macquarie Research: Okay. I guess, maybe what I am a little confused about when is what would make your earned ROE increase in '14 if the new rates wouldn't take effect until say January of '15?
Patricia L. Kampling: It has to do with the math, Andy, about the -- capacity payments going away and additional rate base getting added. The earning on additional rate base and having lower capacity payments.
Andrew M. Weisel - Macquarie Research: Okay, okay. Maybe I'll follow up them offline. And then just lastly, the equity, was it $250 million over the 2-year period of '15 and '16 or in each of those years?
Thomas L. Hanson: No, it's in aggregate. So it's for both of those 2 years.
Operator: [Operator Instructions] And there are no other questions in the queue at this time.
Susan Gille: With no more questions, this concludes our call. A replay will be available through November 14, 2013, at (888) 203-1112 for U.S. and Canada, or (719) 457-0820 for international. Callers should reference conference ID 8244179. In addition, an archive of the conference call and a script to the prepared remarks made on the call will be available on the investors section of the company's website later today. Thank you for your continued support of Alliant Energy, and feel free to contact me with any follow-up questions.
Operator: Thank you. And that does concludes today's conference. Thank you for your participation.